Operator: Good day, and thank you for standing by. Welcome to Clearway Energy, Inc. First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Akil, Director of Investor Relations. Please go ahead.
Akil Marsh: Thank you for taking the time to join Clearway Energy, Inc.’s first quarter call. With me today are Craig Cornelius, the company’s President and CEO; and Sarah Rubenstein, the company’s CFO. Before we begin, I would like to quickly note that today’s discussion will contain forward-looking statements, which are based on assumptions that we believe to be reasonable as of this date. Actual results may differ materially. Please review the safe harbor in today’s presentation, as well as our risk factors in our SEC filings. In addition, we will refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to today’s presentation. In particular, please note that we may refer to both offered and committed transactions in today’s oral presentation, and also may discuss such transactions during the question-and-answer portion of today’s conference. Please refer to the safe harbor in today’s presentation for a description of the categories of potential transactions and related risks, contingencies, and uncertainties. With that, I’ll hand it over to Craig.
Craig Cornelius: Thanks, Akil. Turning to Slide 4. Clearway delivered solid first quarter results across all segments, putting us in good standing to meet our 2025 financial objectives. We’ve reaffirmed our 2025 guidance range, and if we can see typical annual resource for the remainder of the year and continue to deliver strength in fleet performance, we have line of sight to achieving the top half of that range or even better through contributions from newly committed investments. We also continue to execute on initiatives that will enable future long-term growth in our business and are pleased to note that we made accretive progress in each of the growth pathways we have established for CWEN in fleet enhancements, sponsor-enabled dropdown investments, and asset-centered third-party M&A. First, in our fleet, we continue to drive previously identified repowering opportunities forward and added still more identified opportunities this quarter. For the previously announced Mt. Storm repowering, we signed the project’s revenue contract with Microsoft and the project is advancing towards the start of construction in 2025. The repowering remains on track to achieve commercial operation in phases in 2026 and 2027. We are pleased to also announce that a potential repowering of Goat Mountain in 2027 is now advancing with an awarded PPA that can enable and accretive investment proposition and meaningful expansion of the facility side. Lastly, we continue to advance development of a repowering at San Juan Mesa and signed a PPA extension for the project to serve as a bridge to a future repower targeted for 2027. Another growth pathway, sponsor-enabled dropdown growth, also remains resilient and saw further advancement during the past quarter. All of CWEN’s committed growth remains on track for completion schedules aligned with previous public disclosures. Clearway Group continues to develop an abundant pipeline of over 9 gigawatts of CWEN compatible late-stage projects that has now been further reinforced with additional safe harbor investment. Clearway Group is now on pace to complete safe harbor investments for approximately 13 gigawatts of projects that could achieve COD through 2029, which maximizes optionality relative to what the enterprise plans to build over that timeframe. This advancement includes battery projects within the late-stage pipeline due to thoughtful planning and collaboration with our PPA customers and equipment suppliers on tariff for sharing. We are now officially naming the Spindle project, a 199 megawatt battery storage project, which signed a long-term contract with an investment-grade utility in mid-April. Asset-centered M&A also continued to be a complementary avenue for us to pursue to meet our CAFD per share growth objectives. We are pleased to announce that we closed the Tuolumne Wind acquisition in recent days. We are also pleased to announce that we have signed a binding agreement to acquire an operational solar project in California that is nearby a large cluster of other Clearway assets in the area and a further demonstration of our ability to thoughtfully apply operating synergies to add complementary high quality assets to our fleet. Further reinforcing confidence in our outlook, we’ve mitigated interest rate risk for the refinancing of our corporate bond scheduled to mature in 2028 with opportunistic hedging of base rates that Sarah will discuss in her section of the prepared remarks. Through all of these actions and more, we have positioned the platform to potentially achieve the high-end or better of our 2027 CAFD per share growth target. We are proud of how we’ve continued to execute since last quarter’s earnings call on our redundant growth pathways, providing further visibility into how we will accretively grow Clearway Energy, Inc., while evolving the company to be increasingly self-funding over time. Turning to Slide 5. Progress continues on attractive repowerings that we expect to extend and enhance the value of our existing owned wind fleet. Collectively, the three named repowerings on this slide are providing solid building blocks for our CAFD per share growth outlook beyond 2027. The previously announced Mt. Storm repowering continues to advance with win-win PPA terms accommodative of the current policy environment. The project has also completed key permitting milestones and placed the turbine order with Vestas. Goat Mountain is targeting repowering in 2027 to expand the facility’s capacity to 301 megawatts. The project’s expanded capacity will be enabled by major permits that are already secured and an awarded PPA that is in the process of final negotiations on terms which allow for it to be advanced accretively in today’s supply chain environment. Finally, San Juan Mesa is another repowering we are targeting for completion in 2027. It’s advancing a PPA extension with the current off-taker, which will serve as a bridge to a future repower as Clearway Group is advancing development activities that could set the project up for construction in 2027. In the coming quarters, we are hopeful that we can disclose additional details and official commitments to these next two targeted repowerings, subject to customary applicable caveats, including the requirement for review by CWEN’s governance, conflicts, and nominating Committee. As a reminder, repowerings in our fleet enhancement program are underwritten to extend the asset’s useful life, improve its risk profile, and drive CAFD growth incremental to our baseline forecasts for EBITDA and CAFD contribution from these projects prior to repowering. In aggregate, we have repowered or committed to repower 712 megawatts of our wind portfolio and look to increase that amount in the coming years. Based on rigorous analysis with a core focus on maximizing shareholder value, we’ll continue to enhance our wind fleet through either future capital-light contract extensions or contracting to underpin a potential repowering. Turning to Slide 6. Our sponsor-enabled dropdown growth pathway is moving along nicely and further firming our confidence in our growth outlook in 2027 and beyond. All of Clearway Group’s projects with 2025 CODs are committed to CWEN and on track with substantially all equipment for the projects delivered long ago and grid synchronization active as of today. Commissioning work has begun ahead of commercial operations and CWEN has made initial funding based on milestones laid out in the investment commitment agreements with Clearway Group. Opportunities for CWEN investment in 2026 and 2027 COD project vintages also continued to advance, including approximately 1-gigawatt of committed and identified potential dropdowns within those vintages. This includes the now named Spindle Storage project, which executed a 20-year PPA with a Colorado investment-grade utility after the announcements of escalated tariffs in April, reflecting both the ability of the PPA to accommodate expense recovery of elevated tariffs and other actions we have been able to take to mitigate that potential elevated cost to rate payers. We also are continuing to advance development of the Rosamond South II project, which provides vital and valuable mid-term reliability for California and for which we are collaboratively concluding a PPA negotiation with a valued historical customer. Finally, we are continuing forward on construction of the committed Honeycomb projects enabled by timely delivery of required equipment and nimble collaboration with our valued battery supplier and EPC contractor. In sum, thanks to our organization’s trademark excellence and policy aware project development, we’ve been able to implement a combination of mitigation factors to ensure projects stay on track to provide cost effective and reliable power to customers. Off-takers are acknowledging the value of ready to build projects and the importance of strong franchises backing them. In contracting arrangements, we have reached an awarded and signed agreement even after the recent announcements of elevated tariffs. We continue to find ways to assure adequate project investment returns, while also delivering a solid value proposition for our customers. Furthermore, our equipment procurement has either thoughtfully been sourced from domestic sources and are benefited from relationships with key suppliers understanding the current macro and policy backdrop when setting procurement terms. Through collaborative application of these mechanisms and excellence in project implementation and financing, we have been able to sustain forward progress on sponsor-enabled growth and are enormously proud of what that says about the resiliency of our very capable enterprise. With this backdrop, not only does our outlook for growth in 2027 continue to firm up, but the outlook beyond that remains robust. Clearway Group’s late-stage pipeline through the 2029 vintages has over $750 million of potential corporate capital investments beyond already offered and committed projects. These vintages through 2029 are now on track to secure qualification for tax credits for approximately 13 gigawatts of projects. A strategy which is intentionally over-collateralizing needed tax credit qualification for project sites across Clearway Group’s pipeline relative to the enterprise’s project buildout plans over that timeframe. Turning to Slide 7. Since our last call, we’ve once again also made steps forward on value accretive M&A. We signed a binding agreement to acquire an operational solar project in California that has an existing long-term PPA that currently extends into late 2038. The asset is also complementary to our fleet given its proximity to existing CWEN assets and also presents optionality for a future potential battery hybridization. The transaction, which is expected to close in 2025, is expected to generate an approximately 10% to 11% 5-year average annual CAFD yield and a 13% 10-year average annual CAFD given the CAFD profile of the project. Turning to Slide 8. We’re in a strong position to achieve the top-end or better of the 2027 CAFD per share target range that we set given the incremental updates on growth pathways shared today combined with past updates. We had previously provided visibility into how we could reach the midpoint or better of the $2.40 to $2.60 CAFD per share target we set for 2027 through previously committed growth investment, contracted and observed pricing levels for revenues in our Flexible Generation segment, and our assumed plans for the refinancing of our 2028 maturity bonds, which have been firmed up by the way of recent hedging activity. We now see paths to the top-end of our 2027 CAFD per share range or better given today’s third-party M&A agreement for an operational solar project, along with continued solid execution across our redundant growth pathways. The deployment of additional capital is one path. Clearway Group’s pipeline has additional potential dropdowns in store that have not yet been offered, such as Spindle and the targeted repowerings, that could allow for the deployment of capital at sufficient levels to meet the top end of our 2027 range or better. We also continue to remain active in evaluating further third-party M&A opportunities through, which we could also deploy capital. And finally, we continue to pursue additional fleet optimization improvements, such as accretive revenue contracting in our Flexible Generation segments. So all-in-all, we continue to believe we are in a position of strength when it comes to executing towards meeting our 2027 financial objectives. With that, I’ll turn it over to Sarah for the financial summary section.
Sarah Rubenstein: Thanks, Craig. On Slide 10, we provide an overview of our financial results. We are pleased to report first quarter adjusted EBITDA of $252 million and CAFD of $77 million. Our first quarter results reflect strong wind resource in California and contributions from 2024 growth investments. In addition, our first quarter CAFD is higher than seasonally expected due in part to timing of debt service and distributions to non-controlling partners shifted into the second quarter. Capacity factors for our Renewables & Storage segment improved by 4.7% to 25.7% for solar and by 2.9% to 33.9% for wind. In addition, our Flexible Generation availability improved by 3% to 89.3% continuing our trend of providing strong availability and grid reliability in California. We continue to reiterate our 2025 CAFD guidance range of $400 million to $440 million with a target to achieve the higher end of the range. We have secured several of our previously described building blocks to achieve this target, most recently completing the acquisition of Tuolumne, a wind farm in Washington state, as well as completing the timely dropdown and initial funding of Rosamond South, a 257 megawatt solar plus storage facility in California during the first quarter of 2025. And this project is on track to achieve COD and be fully funded later this year. In addition, initial funding of Luna Valley Solar and Daggett 1 storage remains on track and is also on track to achieve COD and be fully funded later this year. We continue to maintain this discipline’s focus on the availability of our entire fleet as well as the management of energy margin for our flexible generation fleet. Our guidance range reflects P50 renewable production expectations at the midpoint with the upper and lower ends of the range reflecting variability and potential outcomes for resource and availability. Moving to Slide 11, we remain well positioned to fund our planned growth in a prudent manner. We expect to generate $250 million or more of retained CAFD from 2025 to 2027 that we expect will be utilized to fund a portion of our committed growth investments. In addition, applying a corporate debt to EBITDA ratio consistent with our target of 4 to 4.5 times to our projected forward-looking metric yields estimated excess debt capacity of approximately $400 million or greater. We expect to utilize a portion of this debt capacity along with retained CAFD to fund our committed growth investments, which will allow us to achieve our target CAFD per share growth in 2027 and beyond. Our strategy continues to assume that we will opportunistically and predictably issue modest amounts of equity in order to fund accretive growth to facilitate the achievement of the top end or better of our growth targets. We expect to do these small targeted equity issuances through the use of an ATM facility. This will allow us to issue equity over time at a quantum representing only a small percentage of our public float similar to what you see in the listed utilities space. As part of routine upkeep for our ATM program we plan to make filings later this year to ensure the program is ready for accretive and opportunistic equity issuances subject to market conditions. We expect to regularly utilize our revolving credit facility which is largely undrawn as a source of temporary liquidity, while we complete longer term financing for our growth investment. As we look to put in place longer term corporate financing for growth investments and plan for the refinancing of our corporate bonds with the earliest maturity in 2028 we are looking to mitigate the risk of interest rate volatility by hedging certain notional amounts with forward starting interest rate swaps that will fix the base rate for the intended refinance bonds. We recently executed forward starting hedges for the majority of the principal amount of our $850 million corporate bonds with the earliest maturity and we’ll look to hedge incremental notional amounts if the markets are supportive. This hedging strategy will help us to manage potential interest rate volatility and further support our ability to meet our growth target. We are pleased to approach our growth strategy and related funding plan from a position of strength in balance sheet and liquidity and with a focus on risk management and financial discipline. Now, I will turn it back to Craig for closing remarks.
Craig Cornelius: Thanks, Sarah. Turning to Slide 13. To recap, Clearway delivered strong first quarter results with currently forecasted timing of committed growth investment contributions firming up are passed to meet or exceed the 2025 CAFD guidance range is also in clear view. Committed dropdowns continue on track and are expected to deliver accretive growth to CWEN. Additionally, we’ve signed another binding third-party M&A agreement for an operational solar project at attractive economics. Collectively, we are solidifying multiple pathways towards the top end of the 2027 CAFD per share range and are on track to meet DPS growth objectives. When thinking about our outlook beyond 2027, our very capable organization is working tirelessly for further long-term value creation. We continue to aim to accumulate further growth pathways from dropdown offers from Clearway Group’s development pipelines, further repowering and hybridization opportunities, and selective third-party M&A. Our capital allocation framework will see us continue to allocate capital to the highest return investments available to target a long-term payout ratio trending towards 70% in pursuit of increasingly self-funded growth and to make use of financial flexibility we create and maintain through prudence. Within that framework, we will pursue growth towards extending our goal of 5% to 8%-plus long-term CAFD per share growth and view that goal as something we can sustainably meet. Finally, we’ll continue to be data dependent and attentive listeners to the investment community about what we can do to continue to enhance our investment proposition as we look to present one of the most compelling investments available within the listed infrastructure universe. Operator, you may open the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Julien Dumoulin-Smith from Jefferies.
Hannah Velásquez: Hey, good evening. This is Hannah Velásquez on for Julien. Congrats on the quarter. I had two questions. So the first on battery storage. How are you thinking about that as part of your pipeline going forward? I know you’re advancing with some of the projects through 2026, but how are you thinking about thereafter? And I also know separately the sponsor can’t absorb to some extent, some of the tariff impact, but it also sounds like you might be sharing some of the costs or the higher costs. Does that mean beyond 2026, if you do pursue further storage projects, you might continue to cost share or you might look for a non-Chinese supplier, or you might altogether just slow down on a post-2026 storage projects?
Craig Cornelius: Yeah. Thanks for the questions. Appreciate the recognition of the strong quarter. So on the second of those questions, first, we really like this technology and what it delivers for the system. Now being in a position where we can see a sizable fleet of batteries in our operating portfolio, they are tremendously reliable generators of revenue for us, given the way that we structure revenue contracts on them. And, I think, we’ve been very savvy about the approach we’ve taken to design, engineering, and commissioning of those resources. If you look on any given day at our operational dashboards, every one of these resources is green and exceeding our underwritten expectations for their performance. And in the RTOs, where they’re contributing now both from our fleet and from others, they’ve had a really appreciable beneficial impact on reliability, as well as for ratepayer costs in systems like Texas and ERCOT [ph] and CAISO over the last few summers. So, we think batteries have an essential bright future here, not just in 2026 in our business, but all over the U.S. And, we’re proud of what we did for the projects that we’ve got in execution now through the combination of delivery schedules and work with our suppliers and work with our customers to keep those on track. As we look out into the future, we have a lot of good reasons to expect that those projects can continue to deliver the attributes that I just described in a way that’s compelling in value proposition. As you’re alluding to, there are numerous supply chains around the world that can support deployment into the United States, which, and to do so, over time with China content that diminishes. I think we understand and support the decision structure that the U.S. government is looking to implement to encourage U.S. markets to purchase increasingly from sources that extend beyond China for this and other parts of our economy. And we feel comfortable that with the leading quality battery suppliers we engage with that both they’ll be able to support what we’re implementing in 2026 and also what we’d be implementing in 2027 and beyond, even in today’s tariff environment with the timeframe that’s required to adjust those supply chains. So we don’t intend to slow that work down, but we plan to continue to execute it in a way that exhibits all the same characteristics of prudence and craftsmanship that you see reflected in our results today. So that’s sort of the first answer to your question around batteries in our pipeline. I’m sorry, could you remind me back to the first of your two questions?
Hannah Velásquez: No, I mean, that was exactly it. It was just mainly on how you were thinking about storage. So that was super clear. Second question will be shorter and hopefully easier to answer. But just in terms of 2025 guidance, you all reiterated it and I know it was introduced maybe a couple quarters ago. And that was before you had closed on Tuolumne and now you have this new third-party M&A that you announced today. So could we see any, I know, you’re getting at that you’ll be at the top-end potentially of guidance, but could we see beyond that or are you thinking about potentially revising guidance down the line just because these two assets are missing for these two acquisitions?
Craig Cornelius: Yeah, we understand the question. I’ll give you sort of a first statement of principles and then Sarah can fill in after me. So, I think, we understand the question and I think it’s our intention to continue to assure that the expectations we set with our investors are representative of what our own are. And at the same time, we’re also mindful that we’ve just completed the first quarter of a year in a business that earns much of what it does in the second and third quarters. And, we feel proud of the reliable execution and exceedance of guidance targets that we’ve set both in the short and the long run as an enterprise. And that pride is something we want to sustain with continued execution. So, I think, as we increase our confidence around the final year outlook as a result of execution and success of quarters and timeline for closing. I think that will inform when we think we’re confident enough to change a range that we’ve already set. But, Sarah, I’ll turn it over to you to fill in some of the details there.
Sarah Rubenstein: Sure. I think you covered it pretty well, Craig. I think, Hannah, that we feel like we need to get through a little more of the year. And actually, so we did just close on what actions which we reflect in our range. And then incremental acquisitions, we would typically wait until those acquisitions have closed. I think that we will track the closing of this additional acquisition as well as the other factors that we’ll see and how to maintain our operating fleet through the next few months. And then, when we get to a point where we feel confident, we would update the range if it were appropriate.
Hannah Velásquez: Thank you.
Craig Cornelius: Thanks, Hannah. Appreciate the support. Appreciate the questions.
Operator: Thank you. Our next question comes from the line of Justin Clare from Roth Capital Partners.
Justin Clare: Hey, thanks for taking the questions. So, I did want to follow-up on the battery supply here. Just wondering for Clearway Energy Group, was wondering if you just speak to the potential to source batteries outside of China, whether that might be from Southeast Asia, other countries, or domestically in the U.S. And then, if you could just speak to the level of the tariff that can be absorbed here. So, there’s obviously very high levels in China for those imports. So, wondering if you’re planning to absorb a more modest level of tariff and that can be shared. Just wanted to understand a little bit more about how this is being managed.
Craig Cornelius: Yeah. So, first just sort of level order of magnitude answers with respect to the totality of resource types that we deploy. There is certainly an increase in capital expense for projects that are implemented across wind, solar, and batteries at the levels that have been announced in that are applicable to entries into the United States today. For wind resources and for solar resources, they are pretty manageable in relation to current clearing prices for projects that can be constructed in the near-term and that are responsive to the needs of either load-serving entities or commercial and industrial customers. For battery projects with a more China-driven supply chain today, instead of a capital expense increase of 5% or 6%, the currently enacted tariffs could have an impact on CapEx of about 30%. That’s [Technical Difficulty] when incorporated into customary financing structures, the increase in toll rate that a project needs in order to produce a similar return is measured in single dollars per kilowatt month for a resource which is pretty important and necessary in a lot of places around the western U.S. right now. And that’s why it’s been possible for us to continue to present revenue contract structures or pricing to customers for battery projects that need to be delivered in the near-term. And for those customers still to see a value proposition and procuring from those resources or agreeing to terms that would price potentially elevated tariff costs into the toll contracts that they will purchase power from. And then, I think, we really consider the relationships we have both with our constructors and our equipment suppliers important and collaborative. And for that reason would not get into tremendous detail about how together we manage challenges like these but the levers that we are able to pull together are schedules for deliveries, approaches to commissioning and construction, the absolute sharing of costs of tariffs themselves and also the way that increased prices on revenue contracts or financing structures can partly offset that for us both. And by being able to either bring equipment into the country already before the tariffs were imposed or make use of the combination of those levers, we’ve been able to keep all the projects planned for 2026 on track to be able to deliver returns and an investment proposition to Clearway Energy, Inc. consistent with what’s been announced already or what would be customarily targeted. As we look out to the longer term, I think, we have been a leader in driving increasing domestication of supply chains. As a company, we’ve been buying panels made with U.S.-produced polysilicon for years and years and years long before. It was something that policy demanded. We have pushed for domestication of wind turbine supply chains. We’ve done the same with batteries. And a lot of the battery procurements we’d executed were supportive of some of the first large scale manufacturing configurations for domestically produced lithium-ion cells for stationary storage. And as we work with our multiple battery suppliers to target what’s necessary to support projects that would be completed in 2027, there are multiple pathways that could be employed in order to reduce the cost of tariffs to the projects we build and the price that we need customers to pay in order to make them economic. I think it’s certainly our hope that U.S. policy will ultimately be configured in a way that gives supply chains time to respond and create the increasingly domestic or non-China supply chain that’s consistent with national goals. But as far as Clearway Energy, Inc. and Clearway Group are concerned, we’ve been able to manage and organize our business in a way that we can keep things on track and still deliver a resource that people want to pay for.
Justin Clare: Okay. Got it. I really appreciate the answer there. I’ll pass it on. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Michael Lonegan from Evercore ISI.
Michael Lonegan: Hi, thanks for taking my question. So, you’re advancing repowering opportunities and other commitments pending at Goat Mountain and San Juan Mesa. You also highlighted a lot of other repowering opportunities through 2030. Just wondering if you could talk about the CAFD yield you expect on these. I know some recent repowerings like Cedro Hill was at 10%, Mt. Storm from 11% to 13%. How do these levels compare to what you expect going forward?
Craig Cornelius: I think the guidance we’ve given our investors in the analyst community when thinking about capital allocation on a going forward basis is that we look to deploy capital at CAFD yields of at least 10% and with a risk return proposition that creates value in relation to our weighted average cost of capital and which extends the runway of contractiveness and our revenues and cash flows and those same expectations are what we apply when evaluating additional investment opportunities for repowering investments in our fleet. When we value that investment, we assess the baseline amount of CAFD, we expect a non-repowered project to produce. The additional amount of CAFD and cash flow, we expect the repowered project to produce and we assess the CAFD yield and the investment returns on the capital deployed against those increases to CAFD and cash flow and EBITDA as compared to what we’d expect the project to be generating were it not to be repowered. And, we’re pleased both with the commercial profile of projects like Mt. Storm, which now exhibits a 20-year PPA after completion and of Cedro Hill, which gives a nice long life to that project with an existing customer who we value. We just completed the ribbon cutting for that project today. And outcomes like that are what we’re targeting for the next projects ahead. And what we see and are proud of today is that the market values these existing wind resources and our ability to expand them or extend their life. And just as I think we’d indicated 6 months ago that this would be a policy resilient growth pathway for the company, we’re pleased to see that proving out.
Michael Lonegan: Great. Thanks. And then, obviously, you signed the third party M&A agreement for the solar project on April 25th, just 5 days ago, the current economic uncertainty. Just wondering, what are you broadly seeing in the M&A market? Would you say this was a unique opportunity to act on? Or what are you seeing in terms of activity and attractiveness of options?
Craig Cornelius: What we see right now is that we’re operating in a market with more balance between buyers and sellers of operating assets than we’ve seen in some time. Sellers still have options and buyers continue to need to be rigorous and selective. For each of the two acquisitions that we’ve announced in the last 6 months, you will have seen that there is some unique synergistic benefit that Clearway has been able to bring to bear on the project. In the case of the most recent asset, because of its proximity to other solar projects we operate already. In the case of the Tuolumne Wind acquisition announcement because of a pre-existing relationship with the off-taker and our ability to potentially repower that project in the future with a track record of successfully doing that. And as we go forward and we look at other potential asset acquisitions, it’s our intention that we would continue to evaluate and execute on any applying the same principles that you see reflected in these deals, namely that they can be executed within our capital allocation framework, that they exhibit return proposition at or better than the capital allocation expectations we’ve set with our public investors, and that there is something unique that Clearway can bring to bear in order to enhance value and assure a good return for Clearway Energy, Inc. So, there is certainly a market window right now, where we see opportunity to apply those advantages with acquisitions that are secure and additive to our fleet, and to the extent that those can be acted on in a fashion that is supportive of our growth goals and consistent with our capital allocation framework, we’ll do that. But, we’re glad to be able to do that from a position of strength where – what we’re focused on now is hitting the top-end or better of our out year goals and being able to manage the sequencing of sponsor-enabled development assets and acquisitions to exhibit a nice deliberate pathway for capital allocation for Clearway Energy, Inc.
Michael Lonegan: Great. Thanks for taking my questions.
Craig Cornelius: Yeah.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Mark Jarvi from CIBC.
Mark Jarvi: Thanks. Good evening, everyone. Craig, maybe you can talk a little bit more about the willingness to assume, I guess, and share the risks in terms of PPAs and the pass-through. Would you say that’s widespread across counterparties you’re engaging with? Is it selective? And then, I guess, when you think about it, is that something you think will be pervasive across the industry, or do you think companies like yourselves where you can find other tweaks and solutions to maybe mitigate some of those costs make it easier for you to get your counterpart across the line to share some of those risks?
Craig Cornelius: Yeah. Thanks for the question, Mark. It’s much more common in today’s marketplace than it was 6 months ago, and it was more common 6 months ago than at any time in the history of developing renewable power projects. I think really for the last 5 years, the industry has been presented with a succession of changes in the policy environment that are applicable to constructing and capitalizing long-term contracted projects. And, over time, the combination of developers and customers have become increasingly accepting of the fact that we need to work together with each other to adapt to changes in policy in order to enable resources that have to be constructed to meet demand to be built. And, I think, we are now at a point where we have been able to reach agreements for how policy benefits or risks get shared with regulated load serving entities in markets across the country with commercial and industrial customers in markets across the country. And also sellers of equipment and project developers have started to develop manageable ways of establishing floors and ceilings on the cost of constructing projects, so that we can each do what we need to do together. I think customers are much more prepared to enter into those types of adaptable revenue contract structures with sponsors like ourselves and with projects that are more mature, where they feel that what they’re paying for is certainty that a resource will come online with an understanding that the exact cost of that resource might vary for projects that are less certain to be built with sponsors with a less effective track record than our own, customers may be less prepared to enter into agreements of that nature. But I think as a whole, what end-use customers and load-serving entities recognize is that our country needs a tremendous campaign for the addition of both energy and capacity resources, and we need to find a way to work with each other to build them, even as the policies that are applicable to them change from time to time.
Mark Jarvi: That’s good to hear. Last question for me is just clarifying the comments on the equity needs. Was that – were you saying that you need external equity if you wanted to at least hit the top end or exceed the 2027 targets? And, I guess, the other question would be given all the progress you’re making, particularly with repowering and other visibility beyond 2027, what do you guys think would be in a position to extend the horizon in terms of the growth projections?
Craig Cornelius: Sure. I’m going to start with [Technical Difficulty] to that question, or both of them, and then to turn to you, Sarah, to follow on. So, first, I think one of the things that we feel we have done right over the last year is to listen carefully to the community of investors who support our company and to establish growth plans and capital allocation frameworks that are responsive to what they think should be representative of a company like ours. And one of the things that I think has been consistently communicated to us by our investors is that they would like to see the company over time move in a direction where its growth can be funded through its own cash flow and through a prudently managed balance sheet and debt capacity. And that to the extent that we are making use of equity as a funding source for our growth that it is predictable and modest. And you could sum all that up by saying if we can grow in a compelling way while living within our means that’s what’s optimal. So it is our intention to do just that. With respect to the start of equity issuances through the use of an ATM and how that funds our growth plan, I think, what we’ve indicated is that to hit the top end of the $2.40 to $2.60 range that we’ve articulated, then if also aiming to hit the targets we have for credit ratings and so on, that we would plan to make use of a modest amount of ATM issuance, also just because we think it is healthy for a company like ours to be able to do that. But it’s not something that’s an absolute necessity and we took the step as you saw in our disclosures to sort of quantify a range of issuance that we have in mind over 3 years, which if quantified relative today’s share price represents something like 1% of the flow of our C shares. So that’s sort of the answer to the question with respect to equity issuance. In terms of range and when we would articulate a new vintage beyond 2027 or revisit the commitments we’ve made for 2027, when we’ve historically done that as a company has been in the third quarter of the year when we set guidance for the next period of time. And, I think, that is the natural cadence when we would update that long-term expectation, unless we reach some point between now and then where the accumulation of committed investments that we have committed to and other improvements in the fleet reach a point where our expectations are materially in excess of the range we’ve articulated already. But, Sarah, why don’t you help fill in the details for Mark here about how and when we do that second part.
Sarah Rubenstein: Yeah, I mean, I think you’d be generally covered it, Craig. I think we typically go through a robust budget process and long-term plan and that wraps up in time for us to initiate guidance for the subsequent year and potentially update long-term targets when we do our third quarter earnings call. I think we would anticipate that that pattern would continue unless to Craig’s point we have something that occurs prior to that that would warrant a change, but given how our process works here. I would expect us to continue to update our guidance initiation for the subsequent year and long-term targets on our third quarter call and in terms of what we would do to extend our longer term targets, I think, also will be based upon the things that we’re able to include within that long-term planning process. So, maybe we’re not giving specific updates, but I think that you could expect us to do that later this year around the same time as we typically do.
Mark Jarvi: Okay. Well, it seems like everything’s had the right direction. Thanks for the time tonight.
Craig Cornelius: Yeah. Thanks Mark. We think it is.
Operator: Thank you. One moment for our next question. Our next question comes in the line of Steve Fleishman from Wolfe Research.
Steve Fleishman: Yeah. Hi. Thanks for the updates. Can you just remind me in terms of tax credit monetization for the projects, new projects, how you’re monetizing the tax credits and if you’re using [tax liability] [ph] at all, tax credits.
Craig Cornelius: Yeah, the capital structures that are put together for financing of our project, generally make use of traditional tax equity partnerships in which some portion of the depreciation and most for all of the tax credit value is allocated for some financial institution that’s able to make use of those. In some cases, those structures give that financial institution the ability itself to transfer those tax credits to a separate party. And to the extent that it does so, in some cases, that can produce an additional financial benefit for Clearway Group as a development company. But in all instances, except for very limited ones where we have remaining leakage of excess production tax credits from projects that are at the very end of a PTC partnership, we’re now on occasion, at the end of a project, we’re able to sell $1 million or $2 million worth of production tax credits for the benefit of Clearway Energy, Inc. The monetization of tax credits is through traditional partnerships. And the risk of where tax credits are monetized is relevant to the development margin that Clearway Group earns on the project. I think that gets at what you have in multistate.
Steve Fleishman: Yeah. Okay. I’m going to leave it there for now. Thank you.
Craig Cornelius: Yeah. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Noah Kaye from Oppenheimer.
Noah Kaye: Good afternoon, and thanks for taking the questions. It’s notable, perhaps, that the late-stage pipeline grew over a gigawatt sequentially amidst all this headline uncertainty for the space. So, I want to commend you there. Did notice that some of the CODs within that appear to shift from 2026, 2027 to later on in the period? Maybe just comment on factors around that and implications, if any, for CWEN?
Craig Cornelius: Yeah, thanks for noticing. Thanks for the question. Yeah, so as I think you’ve seen over time, Noah, one of the things that we do is move projects from development inventory from Clearway Group around in deployment schedules in order to be responsive to the capital allocation framework and growth needs of Clearway Energy, Inc. And what you see reflected in our pipeline reflects that kind of thinking. With the benefit of some of the operating asset acquisitions we’ve just completed, we are in a position where what would be necessary to build to fully utilize all the capital that’s available for Clearway Energy, Inc. to invest and to hit the top-end or better of the growth goals we’ve articulated is more than sufficient. And so, the mode that we’re in now is optimizing the succession of project development and construction schedules to fill in neatly into the growth plan that we’ve set out for CWEN. And, there’s, say, 600 or 800 megawatts worth of projects that we had pointed to 2027 that could either be completed in 2028 or in some cases late 2027. And, where we ultimately build them will be a function of business decisions we make in the next 12 months that look first to the capital that CWEN has available to allocate and the growth goals that we’ve got for the business. So, we feel as though we’ve been able to manage our pipeline pretty effectively in the current environment and its policy exposures are manageable right now. And as I think you’d probably noted the magnitude of the safe harbor pipeline we’ve created and gives us tremendous optionality at a very acceptable cost to Clearway Group to pick whichever projects are most likely to present the best risk-adjusted addition to the CWEN portfolio and plan to construct those projects in the timelines we need to.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Angie Storozynski from Seaport.
Angie Storozynski: Thank you. Lots of questions asked. Thank you, and answered. Maybe two questions. Any thoughts on energy margins for your gas plants in California? And then secondly, I mean, May should be an interesting month for the future of the IRA. And then also there’s some rumblings coming from the wind power industry about permitting of projects. And I’m wondering if you see any risks to repowering of your wind project, those that already have federal permits and those that are awaiting those permits. Do you think that there’s any risk that those permits could be revoked or that there’s any issue with the reload of wind PTCs for these repowered projects, depending on what happens with the IRA?
Craig Cornelius: Yeah. So on energy margins and our outlook for the California fleet, something you would have noticed in our financial results last year was that we – part of the reason for why we outperformed that year was our success in managing that energy position inclusive of heat rate call options that helped us establish a revenue floor for that fleet in a year where dispatch was not as frequent in CAISO. We’ve been pleased to see as we go forward as far out as 3 years from now a pretty supportive market for the energy value of those assets and in fact the further out in time you go the more we’ve seen appreciation and the expected energy gross margin creation potential the asset. So, right now, we feel good about the position of those assets in relation to the amount of CAFD we’d expect them to produce each year as part of our guidance and our 5-year plan both, because of what we’d expect the market to bear and where we’ve been able to hedge modest amounts of that capacity in a way that we think is risk aware. So, as I think, tens of millions of dollars of CAFD measured in sort of low $1 to $1.50 levels that we count on for energy gross margin and that fleet and we feel constructive about the fleet to fleet’s ability to continue to deliver that as we look into the out years based on actual market activity. And then on your question about the wind resources, the projects that we have incorporated into our near-term plans, where we’ve signed PPAs or are on the cusp of doing so have all the federal permits that are required. We continue to make progress where necessary on the later stage projects in our land based wind fleet. And, I think, we see a number of examples that land based wind projects that are being developed in a way that is appropriately thoughtful about the interests of the various federal agencies that play roles in permitting them and local communities can still be permitted, need to be constructed, and deliver an energy value proposition that is increasingly necessary in a system, which has so much solar on the margin and won’t see much gas built for a while. So we feel pretty good about that. And then on the IRA, yeah, I mean I think if what you’re referencing is that we’ll start to see markups from committees of parts of the IRA and may we agree that that will happen. And we also feel pretty good about the constellation of important interests that are represented by members of congress in the majority both on the senate and house side, and how clear-eyed they are about the important role that renewable energy and batteries have to play in the states that they represent and in an energy system that short both energy and capacity. So, we feel good about the way we’ve planned our business for resiliency around change to the IRA. We expect some changes to it to occur. And, we are very confident about the plans we have for Clearway Energy, Inc. in the short run, looking equally resilient a year from now as they do today.
Angie Storozynski: Very good. Thank you.
Operator: Thank you. At this time, I would now like to turn the conference back over to Craig Cornelius for closing remarks.
Craig Cornelius: Thank you, everyone, for joining us today and for your ongoing support of Clearway. We look forward to continuing to deliver with excellence in the quarters ahead, as we strive to set the gold standard for all of the above energy companies here in America. Operator, you can close the call.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.